Operator: Ladies and gentlemen, thank you for standing by, and welcome to Anthem’s Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode.  As a reminder, today’s conference is being recorded.
Chris Rigg: Good morning. this is Chris Rigg and welcome to Anthem’s Fourth Quarter 2020 Earnings Call. As many of you know, I have transitioned the Head of Investor Relations to be the Chief Financial Officer of our Commercial & Specialty Business division. Steve Tanal will be joining Anthem as the new Vice President of Investor Relations. So, we look forward to welcoming him next week. With us this morning on the earnings call are Gail Boudreaux, President and CEO; John Gallina, our CFO; Pete Haytaian, President of our Commercial & Specialty Business Division; and Felicia Norwood, President of our Government Business Division. During the call, we will reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available on our website, antheminc.com. We will also be making some forward-looking statements on this call. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of Anthem. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to carefully review the risk factors discussed in today’s press release and in our quarterly filings with the SEC. I will now turn the call over to Gail.
Gail Boudreaux: Good morning, and thank you for joining us for Anthem’s fourth quarter 2020 earnings call. Despite a year challenged by COVID-19 and significant economic uncertainty, we delivered strong growth across all of our businesses. This morning, Anthem reported fourth quarter 2020 GAAP earnings per share of $2.19 and adjusted earnings per share of $2.54. For the full year, Anthem reported GAAP earnings per share of $17.98 and adjusted earnings per share of $22.48. Our full-year results reflect the ongoing impact of COVID-19 treatment costs and more normal utilization patterns in the second half of the year. Consistent with our expectations, fourth quarter utilization was above baseline, reflecting higher costs attributable to the recent surge of COVID-19 cases, coupled with the return of non-COVID-19 care utilization. I’m incredibly proud of what we’ve accomplished in 2020, and the strength and resiliency shown by our enterprise amidst the global pandemic. We met our financial commitments, delivered strong growth, and we stepped up as a business and through the commitment and compassion of our associates to support our members, partners, and communities when they needed us most to address the new increase in an urgent need. Our growth in 2020 was powered by strategic investments we’ve made in recent years to streamline and simplify our business and enhance the member and customer experience. Membership trends in the year exceeded expectations on all fronts. Medical enrollment finished the year strong at 42.9 members representing growth of 1.9 million members over the prior year.
John Gallina: Thank you, Gail, and good morning. As Gail stated, we are pleased to report strong fourth quarter and full-year financial results. Fourth quarter adjusted earnings per share was $2.54, down 35% year-over-year driven primarily by cost related to the COVID-19 pandemic, including actions taken to support our members. for the full year adjusted earnings per share was $22.48 representing growth of 16% over 2019. total operating revenue for the fourth quarter was $31.5 billion, an increase of more than 16% over the prior-year quarter, reflecting solid growth in Medicaid and Medicare. for the full year, we ended 2020 serving 42.9 million members including growth of 300,000 lives during the fourth quarter. Medicaid membership was up more than 11 times the decline in our commercial risk-based business. This is the tenth consecutive quarter of membership growth, further demonstrating the strength and resiliency of our business. for the full year, operating revenue grew over 17%. The fourth quarter medical loss ratio was 88.9%, a decrease of 10 basis points over the prior-year quarter. COVID-related costs accelerated during the quarter above expectations. However, this was offset by non-COVID utilization coming in lower than expectations. taken together, overall utilization was above baseline, albeit slightly better than expected. The SG&A expense ratio in the fourth quarter was 13.7%, an increase of 80 basis points over the prior-year quarter due primarily to increased spending to support growth, including the efforts taken to modernize our business and become a more agile organization as well as the return of the health insurer fee in 2020. on a HIF-adjusted basis, our SG&A ratio decreased 30 basis points, compared to the prior-year quarter, primarily driven by double-digit growth in operating revenue. Full year 2020 operating cash flow was $10.7 billion or 2.3 times net income. fourth quarter operating cash flow was $3.8 billion, compared to $1.3 billion in the prior-year quarter. the increase is primarily attributable to changes in our net working capital and enrollment growth in our government businesses.
Operator:  For our first question, we go to the line of Justin Lake from Wolfe Research. Please go ahead.
Justin Lake: Thanks. Good morning. I wanted to see if you can walk through the $0.50 to $0.70 as much detail as possible. You mentioned the stimulus with a higher physician fee schedule and the quarterly sequestration. So, I estimated that at about $0.20. So, I was hoping you could break out – confirm that and then break out the other $0.40 in terms of rebuild locations and how that benefits Medicaid, the higher total costs of 20% add on the Medicaid rebates, et cetera. And then lastly, can we assume that when you think about the 2021 jump-off point for the 12% to 15% EPS growth next year. Would you grow off the $25.10 getting back with $0.50? Thanks.
John Gallina: Yes. Thank you, justin and good morning. I appreciate the question and the opportunity to clarify the $0.50 to $0.70 change in our expectations. as you mentioned, with the appropriations bill and the extension of the federal health emergency, we now have a disconnect between some of the costs and the embellishments. We completely agree with their approach to the Medicare at 3.75% fee schedule rate increases as well as a sequestration. The Medicare rate increased for 12 months. The sequestration is only for three months is an offset, but there’s a third component as well. And that’s a 20% bump in the inpatient DRG is going to be extended for the full year, as well as part of the federal health emergency. So, when we take the three of those combined that actually accounts for about two thirds of the $0.50 to $0.70 differential that you’re asking about. the other one third really relates to the fact that the non-COVID utilization in the fourth quarter was lower than we had anticipated. And with the non-COVID utilization being lower than anticipated, we are unable to accurately capture all of the HCC codes to reflect our appropriate risk scores in our Medicare business. And so once you factor that in, that’s about the other third. So, you take those out and we’ll come down to the $25.10 that you have been modeling to the $24.50 at the midpoint. And then in terms of your question associated with the 2022 jump-off point, while it is premature to give 2022 guidance, it would be believed that many of these issues are transient and we’re very comfortable affirming the 12% to 15% long-term sustainable growth rate on a $25.10 starting point. We always have the issue with COVID and rich revenues, and things could linger. And we will clearly be on top of that throughout the year. but as an outset, we’re very comfortable with the $25.10 jump-off point. And thank you for the question.
Gail Boudreaux: Thank you for the question, Justin. next question.
Operator: Next, we’ll go to the line of A.J. Rice with Credit Suisse. Your line is now open.
A.J. Rice: Hi, everybody. I know there are a lot of puts and takes around this question, but right now, people are trying to make an assumption as to when there be mass distribution of the vaccine and when things might start to get back to normal. Conceptually, when you think about your 2021 guidance, how have you pegged that thinking, and if we were to find out, for example, if we say, you’ve pegged it for the middle of the year or later in the year, if it happens, if there’s variance say, it’s in March or it’s in October, would that – how would that change the financial outlook that the company’s presenting?
John Gallina: Yes. Thank you, Jeff – A.J., I’m sorry. A great question and as you’ve indicated, there is a lot of variability and assumptions. the most vulnerable populations, which include Medicare advantage members, et cetera and our expectation is by the end of the first quarter that they will achieve the vaccination level appropriate. We’re really looking at having somewhere in the neighborhood of about 60% of Americans vaccinated for the year. Medicare, we would expect to be a bit higher, the commercial population and the Medicaid population. We wouldn’t expect the vaccines to be rolled out and complete it until the end of the summer. Maybe, even a little bit longer with the commercial population being close to the average for America for the year and then Medicaid being a little bit less. So, to the extent of the rollout and the efficacy of the vaccine, very clearly, could have an impact on the financial results for the year. As COVID costs go down when we do expect non-COVID utilization to increase. So, it’s certainly not a one-for-one, but there’s clearly a lot of dynamics associated with that modeling. And if the vaccine is either faster or slower, it’ll have an impact in one direction or another. And hopefully, that helps.
Gail Boudreaux: Yes. And A.J., this is Gail Boudreaux. I think, in addition to John’s question, as we shared, it is an incredibly dynamic environment relative to what’s happening with COVID and the vaccine. As I shared in my opening comments, we are working very closely though, to try to ensure access for our members. We’ve added a number of new tools in terms of the, our trackers and our online tool kit, ensure that people know where vaccines are available. We’re going to work with our States closely. We entered a partnership with Lyft to provide 60 million free rides. Our sense is that the senior population, obviously, in the rollout is going to have first access to that. And then if each of the States make their determinations and supply becomes available, we’ll be side-by-side, who their partners to ensure that, that we can be as efficient in helping as possible. So again, everything John said, I think, we are trying to model in this incredibly dynamic environment, but remain optimistic and supportive of what’s happening and want to be a good partner to our States and our customers. So, thank you for the question, our next question, please.
Operator: Next, we’ll go to the line of Steven Valiquette with Barclays. your line is now open.
Steven Valiquette: Okay, great. Thanks. Good morning, Gail and John. thanks for taking the question here. So, it’s just in relation to those higher Medicare physician rates for 2021. If I was curious to hear more about the mechanics of this, just whether or not any of your capitated or at-risk payment arrangements with physicians would provide any sort of protection for Anthem again, impacts. And therefore, this might have greater impact on your fee for service arrangements with physicians, or is everything just indexed to the rate update and that doesn’t really matter, but curious to hear more about the mechanics on that. Thanks.
John Gallina: Yes. Thanks, Steve. I appreciate the question. The amount that we’ve disclosed in terms of the impact on our guidance, it’s really the net amount regardless of the risk methodology; we have with the provider network. So certainly, in the capital  arrangement, there is an impact as I had stated in the A.J’s question, we also have the 20% bump in inpatient DRG. It’s impacting all this as well, and then the sequestration offset. So, we got to take them all into consideration, look at how they play through the reimbursement methodologies and what we’ve provided is the net impact of all those.
Steven Valiquette: Okay.
Gail Boudreaux: Thank you. Next question, please.
Operator: Yes. Next, we’ll go to the line of Ricky Goldwasser with Morgan Stanley. Your line is now open.
Ricky Goldwasser: Yes. Hi, good morning. Question focused on the exchange business appears to competitive – I mean, it’s always been competitive, but we’re hearing some anecdotes and increased competition. How do you think about a dynamic in – specifically, how do you think about sort of, kind of like the margin goals that you have articulated in the past?
Gail Boudreaux: Thanks for the question, Ricky. I’m going to ask Pete Haytaian, who leads our commercial business to respond. Pete?
Pete Haytaian: Yes. thanks a lot for the question, Ricky. in terms of the individual business and sort of, as we see Q1 play out, we feel good about our strategy. We continue our thoughtful targeted approach and targeted growth approach in the individual business. We’ve expanded into about 115 counties in 2021. Our approach continues to be based upon a focus on best-in-class economics, through value-based relationships, differentiated medical management, but really try to partner with key providers to enable excellence in quality and risk adjustment. And so that’s been our grounding and we continue with that strategy. Overall this year, while we’ll experience growth, environmental, and I think you’re alluding to this. There is more competition. Also, there does appear to be less overall new sales across the federal facilitated marketplace and the state-based exchanges. It seems to be down a bit year-over-year. We believe that this is due to a variety of different factors. We all know that in several states, there were special election periods throughout 2020, which certainly, could have been a factor, also less overall government engagement and that could change with the Biden administration just in terms of overall marketing and then less prospect engagement, we saw that just in light of the political environment and the economic climate. but all that said as we look forward, we do remain optimistic regarding this business, the new administration, certainly, it looks like they’re going to promote and pop up, excuse me, the ACA business. We just heard this week that we’ll likely see an extension to open enrollment or special enrollment periods throughout the year, and then a possibility of more marketing and facilitated enrollment expenditures. So overall, I think we’ll continue with our thoughtful approach, but with the new administration, I think there’s an opportunity for further growth there.
Gail Boudreaux: Yes. And I would just add to Pete’s comments that we’ve had a very consistent strategy around the individual marketplace that really hasn’t changed year-over-year. We’ve done some expansion in States, where we obviously have a very deep footprint and we would continue to be opportunistic and very optimistic about what we think the opportunities are there. So, it’s again, very consistent with what we shared with you in the last couple of years. Next question, please.
Operator: Next, we’ll go to the line of Ralph Giacobbe with Citi. Your line is now open.
Ralph Giacobbe: Thanks. Good morning. I was hoping to get into the MLR guidance a little bit more, John, the 80% – maybe, you can give us some underlying assumptions, it does imply a step up and I know you mentioned mix. But even outside of that, it seemed a little bit higher. So hoping maybe, a sense of expectation of what you assumed in guidance around maybe, Local Group medical costs for 2021 and how we should consider that maybe off of either 2020, or maybe 2019. Thanks.
John Gallina: Yes. Thank you, Ralph for that question. and when we look at our MLR guidance, we certainly believe it’s appropriate given the uncertainty around the timing and the efficacy of the vaccine rollout and the full-year impact of COVID, as well as those unexpected changes in Medicare physician rates and sequestration, timing mismatch that I talked about earlier, have obviously, all been incorporated in the 88%. But we’re only looking at 2019 is the point of comparison since that was the last period that there was not a HIF. It’s really; it’s a fairly simple roll forward from that perspective. You look at the mix of the business that we have today with far more Medicaid members. We actually have had exceedingly strong growth in our Medicare advantage the last few years, being in the upper teens on a couple of year basis and exceeding the rest of the industry. All of that obviously changes our business mix. And just on a apples-to-apples basis, mix is driving about 60 basis points of the increase in the 2021 MLR versus the 2019 MLR. And then when we look at the impacts of COVID and there’s a lot of things that go into COVID, there’s certainly the cost of COVID, which is in the billions of dollars. There is non-COVID utilization impacts and in terms of, we believe that non-COVID utilization will be less than what a normal year would be in vacuum. And then of course, we had the pricing actions that we’ve taken into account for that, as well as our reimbursements from regulatory entities that we believe are appropriate in the COVID environment. When we take the net of all those, the impact of COVID is another 30 basis points to 50 basis points on our MLR for 2021. And there’s a multitude of other small items going in both directions that may be comprised of last 10 basis points. but it’s really, those two items, with mix in COVID. thank you for the question.
Gail Boudreaux: Next question, please.
Operator: Next, we’ll go to the line of George Hill with Deutsche Bank. Your line is now open.
George Hill: Yes. Good morning, John. You actually just covered everything that I was going to ask about the MLR and the COVID impact. I guess I would just say, one of your peers called out the COVID impact in Q4. I’m wondering if you guys would be willing to do that. And then Gail, my follow-up is now that Ingenio was kind of fully stood up. Where do you see the white space in Anthem’s offering going forward?
John Gallina: Sure. I’ll start with your question, George. and then and then turn it over to Gail. in terms of the COVID cost, I think really, probably, your question is what type of COVID costs are included in your guidance. And as I said, there’s many factors and variables and so we’ve spent considerable time analyzing and modeling potential impacts. A few of the peers, A.J. in particular, is asking, what happens with COVID vaccine with a lot of different concerns? Well, I’ll tell you of all the modeling assumptions we have, the timing and efficacy of the vaccine is one of the assumptions that has the greatest amount of variability associated with it. But anyway all in, we’re estimating that we have about a $600 million COVID headwind inherent in our 2021 guidance. And as I said, COVID costs when we include testing, treatment, vaccine administration, all the other things such as the Medicare fee schedules the sequestration, the various waves, it’s several billions of dollars. but offsetting that is non-COVID utilization, less than a normal year, the pricing actions that we’ve taken in regulatory reimbursement and we’ve been modeling all that and it’s coming out to about $600 million. And you only think about that, think about our $24.50, and then you add $600 million to that, that puts us really at the high end or slightly above the high end of our 12% to 15% growth rate range that we’ve talked about on a sustainable basis. So again, we do believe that a lot of these issues are transient. and there would probably be some lingering effects in the 2022. We feel very good about the underlying core business fundamentals that we have in the company. So, wit that, I’ll turn it over to Gail.
Gail Boudreaux: Yes. thanks, John. And I just want to reiterate what John said in terms of just, we feel very good about these issues in our long-term EPS trajectory. And as you think about your question on IngenioRx; first of all, we’re really pleased with the performance of IngenioRx has come in on our expectations. And I think that, we’re past the transition and now, we’re into know full integration of that business with our other opportunities. They think about it. IngenioRx, one of the areas this year, we had some nice sales and some real good throughput in integration with our commercial business, but it was impacted somewhat by the jumbo accounts, really not going out to market this past year. So, we would expect as we sell through 2021 that there’s continuing an ongoing opportunity to integrate IngenioRx with our commercial footprint. And that’s one of our biggest opportunities still. We still see a lot of runway for us to increase the penetration particularly, in our middle-sized and large accounts with integrated pharmacy benefit offerings. We did see some nice wins in 2021 on standalone business, which we’re really, really happy with and we think that that’s a big opportunities for to continue the impact on large accounts this year for just what’s happening in the economy, I think is sort of depressed sales activity and movement, but we have very strong retention across both our commercial and our Ingenio books. So overall, we feel Ingenio is tracking very much aligned to our expectations and really, pleased with the performance of the business to-date. Next question, please.
Operator: Next, we’ll go to a lot of Kevin Fischbeck with bank of America. Your line is now open.
Kevin Fischbeck: Great, thanks. I wanted to see what your guidance was including for two of the, I guess, things that might still be a little bit influx, as far as the Biden policies, I guess, first on the view about redeterminations or do you assume that they’re going to come back this year or in fact not come back until next year. And the second, how you’re thinking about testing costs, it sounds like you’re including some testing costs in there. but I guess Biden’s been talking about having insurers cover potentially back to work and back to school type testing, which it’s not clear that companies weren’t necessarily pricing to.
Gail Boudreaux: Yes. Thanks for the question. In terms of the sort of understanding inside of our guidance on the two issues reverification and testing. first, on reverification, we originally, I can share with you, our thoughts on where this year would come out. Our assumption was that the public health emergency would end in the first quarter that’s what we knew at the time. but we also felt that Medicaid reverifications would probably really begin in the summer. So that was embedding our thinking. The other thing I think it’s important to know is right now, we’re assuming, based on the letter to governors that recently came out that reverifications will be on hold for all of 2021. But in our – even in our original assumptions, we never assumed that there will be cliff events and I think that’s also an important assumption as you think about the progression of enrollment over the course of the year that law States were trying to understand their data and managing this, that given just the challenging conditions within each of these States that that would happen over time in the back half of the year. So again, as we think about this year, we’re expecting no reverification – really, reverification to be on pause for the full year given sort of the initial guidance that’s been given to governors. in terms of your second question, the policy issue on testing, we agree that testing is probably one of the most critical parts of controlling the spread of COVID, and we’ve been strongly supportive of a wide availability of testing offerings and then it isn’t unprecedented in terms of the situation, trying to understand the additional support for all types of testing and expanding that capacity and also finding it quite frankly, new, reliable, rapid, and inexpensive ways to do this. to think about our industry, health plan benefits have always traditionally covered medical tests as appropriate to diagnose and treat individuals that were ordered by a physician. This is consistent with long-held insurance practices or contracts, and quite frankly, federal guidance. And so as we think about workplace testing examples of that that have happened over, certainly drug testing or other traditional ways, employers have paid for that outside of the health benefit. And then similarly public health surveillance testing has traditionally been paid for by States and local health departments. So, those are – I mean, as we think about that we’ve followed that consistent approach to testing and also gave you a sense of what we’ve been under verification. So, thank you for that question. Next question, please.
Operator: Next, we’ll go to the line of Gary Taylor with JPMorgan. Your line is now open.
Gary Taylor: Hi, good morning. We’ve kind of hit on this from various different quantifiable angles around the MLR, et cetera. but just maybe, going back, conceptually, I think one of the biggest concerns investors have is the risks that as COVID subsides, there’s a bolus of deferred utilization and/or that utilization might be a higher acuity as – if health conditions have progressed and worsened, because of deferred care. So, when we think in the line of business, where that impact seems to be – the deferred impact seems to be most significant throughout 2020, seems to be the Medicare business, where seniors have stayed away as much as they are able to. So, as we think about your sort of house view in 2021, how are you thinking about non-COVID utilization, whether there is really pent-up demand, not just getting back to normal and whether that acuity is higher, and is that view particularly any different for commercial Medicare or Medicaid.
John Gallina: Thank you for the question, Gary. and as you can imagine when I discussed earlier, the extensive modern that we’ve done, there’s a lot of different thought processes around that. but conceptually, yes, we do believe that there is pent-up demand in the system, and we do believe that there’s a chance as it could be higher acuity associated with when folks get care. And that’s probably most pronounced in the Medicare line of business. So really, the question is not if those will happen, because we believe those will happen. The question is to what extent and how significant, and then you also have things like emergency room, Biden and we believe will remain low, and that the way that people access care will continue to change a bit in the future as it had in the past. To the extent that COVID stays high, and then we expect non-COVID utilization, whether it’s the normal utilization pent-up demand or anything else to actually be below normal. to the extent that COVID subsides and the vaccine is extremely successful. We do expect that to go off, there’s really clearly a natural hedge in there. I have talked in response to other questions about what the net impact is and we really don’t want to talk about specifically, how much we have for each of those buckets, because you’re so fungible and interchangeable, and they do hedge an offset each other. But yes, the promise of your question, we completely agree with that, we believe is that based on our various modeling sensitivities and understanding of our membership that we believe that the guidance we’ve provided is very solid and very appropriate and prudent. and that we’ll be able to manage through changes in either direction. Thank you for the question.
Gail Boudreaux: Next question, please.
Operator: Next, we’ll go to the line Whit Mayo with UBS. Your line is now open.
Whit Mayo: Hey, thanks. I’m just curious what you guys are sort of assuming and thinking about COVID cost sharing this year. Is there any change in how you approach that? should we anticipate continuing to waive co-pays for the entirety of the year? And one other question I have is just around the sequester that if it does get delayed for the balance of 2021, how – is there any way to maybe size the impact there?
Gail Boudreaux: Thanks for the question, Whit. As we think about, as we’ve heard, actually on this call, it’s an incredibly dynamic environment. in terms of cost shares, the part of the public health emergency we are waving right now, cost shares for testing and obviously, when the vaccine deployment comes in, those will all be included. as part of this environment, I think the biggest impact of cost shares is going to be in the first quarter, which we’ve shared with you. we’re assessing access to care and how all of that is happening across each of our businesses. So, from that perspective and what I would say is first quarter is really how you should be thinking about the biggest impact of cost share waivers. And again, because of all the impacts that are happening, it’s pretty, pretty dynamic. And so we’re reacting and making sure that we assess that on a real-time basis. In terms of the sequester, maybe, I’ll ask John to comment on the sequester.
John Gallina: Well, the – thank you. So, there’s clearly a disconnect right now. So, say that sequestration versus the DRG bump in the Medicare rate increase of 3.75%. The issue really, is that what the extension of the federal health emergency, the DRG bump is going to be for the full year. We know that based on the Appropriations Act that the Medicare rate schedule is going to be for the full year and sequestrations only for the first 90 days. And unfortunately, that will require a legislative action in order to extend the sequestrations. So, we have not included an extension of that and our guidance at this point in time. That really helps. thanks for the question, Whit.
Gail Boudreaux: Next question, please.
Operator: Next, we’ll go to the line of Dave Windley with Jefferies. Your line is now open.
Dave Windley: Hi, good morning. Thanks for taking my question. You had – management had sized a $500 million number from Medicaid risk corridor or call-back, wondered if that turned out to be the $100 million that was going to fall in the fourth quarter, if that turned out to be an accurate assessment or if it was different than that and to what extent, are you viewing those call-backs are continuing into 2021. And then if I could slip in, the flu season is just extraordinarily, low apart from COVID and wondered if that has any impact on your thoughts or guidance for 2021? Thanks.
John Gallina: Thanks, Dave. appreciate the question. And get together, all of which knows a little bit of a frame of reference in terms of when I answer it. In terms of some of the Medicaid call-backs, et cetera, we had experienced about a $100 million in the first six months of the year, had about $300 million worth in the third quarter. And during the third quarter call was asked, what do you think the full year is going to be? And I said, probably, we expected to be a little bit more than a $0.5 billion, meaning that just over a $100 million in fourth quarter. While it turned out that it was more than that in the fourth quarter, there is almost $250 million in the fourth quarter and to make almost $650 million for the year. I think it’s very important to note that even with that $650 million call-backs with all the various corridor and collar and other rate protections that existed within that block of business, that Medicaid still into 2020 within target margin ranges. In terms of the impacts for the future, we have about half of our Medicaid States are re-priced on January 1. We are very comfortable with the actuarial credibility of those rates thus far and believe that we will continue to work with our state partners, in terms of the challenges that they’re facing, and they’re respectful of their budget issues, but the still received rates that are actuary sound and actuary solid for 2021. And then there are rate protections, as I said, between collars, corridors, rebates, whatever you want to call them, they all have the same aspect to try to better align cost and revenue within the same timeframe in same period. So, we’re actually very bullish about our ability here in Medicaid. And then in terms of the flu season, yes, they “typical flu season or influenza season is much less than anticipated.” We’ve factored that in; I’ve talked about non-COVID utilization being less than normal in total for the year that is part of the calculus. So, we’re actually thrilled with a lot of things that we did even; we took staff to ensure that our members had access to the flu vaccine through our fall through campaign. You may not know this, but Anthem partnered with over a 100 community-based organizations across our markets. And we stood up 500 pop-up and drive to clinics and insurance neighborhoods to promote and support higher immunization rates. And we believe some of our efforts help contribute to the lower than normal flu incidence. And as I said, that’s all factored into the non-credit utilization comments that I made earlier. I appreciate the question, Dave. Thank you.
Gail Boudreaux: Next question, please.
Operator: Next, we’ll go to the line of Joshua Raskin with Nephron Research. Your line is open.
Joshua Raskin: Hi, thanks. Good morning. Question is Anthem’s strategy around working with physicians and health systems and risk-based arrangements. And if you could size the overall spend that you see going through risk-based contracts, and specifically, through global capitation.
Gail Boudreaux: Yes. Thanks for the question, Josh. We’ve shared this publicly a few times. We’re a north of 60% in some type of – we’ll call it, upside downside risk. So, what does that mean? It’s a variety of relationships that we have, and we are moving to increase the much more capitated full risk arrangements, particularly in our government business. At this stage, a lot of them are gained shares. Although we do have a component of that 60% in full risk, our strategy is to continue to build upon that. And we believe that having one in eight patients in our markets that are Anthem patients across our book of business provides us a real foothold in those marketplaces and we’ve been working with our care providers to improve that we started with the program was really based on primary care capitation and working with them on your share to get them more involved. So, our strategy does revolve around primary care. And we’re going to continue to build on that. We have 180 accountable care organizations. 23% of those are roughly operating under shared risk arrangements as well. And then if you think about other innovation programs, you’ve got about 69% of our medical spend tied to performance-based contracts as well. So, as you can see, this for us is evolving. It’s something that we’ve been working on for a number of years we’ve had. the infrastructure in place to do it, and now, we’re increasing and enhancing the amount of full risk that our care providers are taking with us. And we actually expect that to accelerate, because of the pandemic. We see an increased interest across our businesses and physicians working with us, and we find plenty of access in our markets. I mean, I think that’s the question that’s been asked before, is there enough capacity in our markets and we’ve seen many of our physicians very willing to move along the continuum with us. So, it’s a journey probably a few years still until we get to where we want to do. but ultimately, we make progress every year and it’s a core part of our strategy. The other area that I just want to touch on is telehealth, which is another part of our strategy, not tied necessarily to behavioral health or not tied necessarily to risk-based payments, but we also see telehealth, tele-behavioral health, and in particular, a growing part of our strategy, I shared more than 50% of our visits and behavioral are done via telehealth. We think that’s a great access. We also think bringing in quite frankly, not just physical health on the medical side, but behavioral health into these arrangements, and our pharmacy actually completes the circle for us. And then some of the capabilities within our Diversified Business Group around palliative care and the work that they’re doing to make sure that we are being better positioned with data to help manage these relationships is another area that we’ve been investing very heavily in. So, thanks for the question. It’s a core part of our strategy. We’re on a journey. We still have some work to do. but I think we’ve made really good progress and continued to move down the risk corridors. So, thank you. Next question.
Operator: Next, we’ll go to the line of Lance Wilkes with Bernstein. Your line is now open.
Lance Wilkes: Yes. Could you talk a little bit about your strategy, and partnering and cross-selling into other Blue Cross organizations, and in particular, could you hit three areas that it’d just be interesting to understand the progress and the outlook for Ingenio, for our diversified in particular, the Beacon asset name, and then also your Medicaid partnerships? Thanks.
Gail Boudreaux: Thank you very much. I’ll begin, and then I’m going to ask Felicia to share some comments around our Medicaid partnerships. You hit really on the three key areas that we’re partnering with our Blue, other Blue plans on, and even there’s a couple of others. First, in terms of Ingenio, as you know, Blue Cross of Idaho is one of our first commercial partners in that space, and we just added their Medicare Advantage business on January 1st. We continue to work across Ingenio in addition to several other relationships that we’ve had with other Blues; it’s a longer-term sales process, because as you know, most of those contracts are three to five-year contracts. So, it takes some time. And we really, until this year, we’re not in a position, I think with the transition and other things we’re doing to take on most of those kinds of arrangements. So, we’ve actually been very balanced in pacing the relationships that we’ve had there, but we actually do think there’s a really good opportunity for us to continue to build and expand. An area that you didn’t talk about specifically was the relationship we have in the group Medicare business. We’ve got some partnerships there also with other Blues that we think, will help us to expand our combined footprint. And we’ve been working with Blue – our Blue partners on that, because we think we offer obviously, some capabilities in that space and we can work with them on their commercial business to convert that to group Medicare and we’ve had some wins this year in that area as well. The last areas of the Diversified Business Group and Beacon’s a great example. I mean, that asset that we purchased and brought onto the Anthem family in the last year, we see as a very big opportunity. They obviously have a large footprint even before integrating with Anthem. They work with a number of Blue partners. We consider that an opportunity to integrate our whole health strategy. And we see our Blue peer is also very interested in expanding there in addition, on the Diversified Business Group, we’ve seen meaningful opportunities to expand CareMore and Aspire. Those are two other companies that have worked with Blue partners. And then we’re in a joint venture on our integrated health consumer capabilities, which we’ve talked about in terms of Total Health, Total You, and some of the other work that we’re doing, because those awful – also offer opportunities. So, as you can see a lot of different things are happening. These are generally several year sales. So, I won’t say that it’s going to happen overnight, but we’ve seen a real increase in the external business that we’ve had in working with our group partners. Medicaid is the space that we started our partnerships with, and expanded that into Medicare and the duals. And I’m going to ask Felicia maybe, to comment on that because that’s probably been our longest standing relationships with our Blue partners.
Felicia Norwood: Good morning, Lance and thank you for the question. Now, we’re very pleased with our Blue partnerships. We started the year with five partnerships on the Blue side. We’ve now added Nebraska and Missouri. Both branded as Healthy Blue. The opportunity that we have is that we’re really a natural partner to our Blue plan, and see this is an opportunity for us to continue to leverage the breadth and scope of Anthem’s deep knowledge around Medicaid execution, and being able to continue to grow that membership as we go forward. When you take a look at where we are today, the great opportunity since not from Medicaid, but also to Medicare, we were able to leverage our partnerships for example, that we had in Louisiana to move forward with the D-SNP offering and we’re doing the same thing with our partnership in North Carolina as well. So, the future of our alliances and partnerships, it’s strong, I think this is an opportunity for us to demonstrate the value that we bring across the board to our Blue partners and we’ll continue to enhance that as we go forward. Gail also mentioned GRS and our opportunities there, and we were able to actually partner with independence Blue Cross for 1/1/2021 in terms of our partnership with them going forward. So, between Medicaid and Medicaid, the opportunity continues to be robust and we will continue to grow this business as we move forward.
Gail Boudreaux: Yes. I think the summary of all that is we’re making some good progress, we’re in early days. And we do think that there’s significant opportunity. but again, these pipelines take some time and we expect over the next several years to continue to advance this, but it’s an important part of our overall growth strategy. So, thank you for the question. Next question, please.
Operator: Next, we’ll go to the line of Robert Jones with Goldman Sachs. Your line is now open.
Robert Jones: Great. Good morning. Thanks for the question. I guess maybe, just one on the SG&A expense ratio, the expectation for 10.8% plus or minus at the midpoint. I know there’s the moving pieces this year. I was hoping John; maybe, give us a little context on the drivers of this. Obviously, we would have the SG&A ratio lower than what we saw this year. And I know we’re thinking about the HIF and mix, and then just other cost initiatives. So, just any breakdown of that would be helpful. And then – and as it relates to the cadence of how we should be thinking about SG&A throughout the year would be helpful. Thanks.
John Gallina: Yes, sure. Thank you for the question. Our SG&A levels are decreasing and yes, they’re really again, to be more consistent with the plans that we discussed at our Investor Day a couple of years ago. We continue to have systems migration strategies, looking very hard to eliminate non-value added work flows and really, enhancing our digital capabilities. Also, at the end of the third quarter of last year, we had some business optimization charges and you’re starting to see some of the benefits of that already come through the P&L. So all in, we feel very good about that. We’ve clearly seen significant revenue growth as well and our revenue growth is far exceeded our growth in SG&A expenses, which serves to lower the SG&A ratio. So, as you know, we’re anticipating a lot of growth in Medicaid. Medicaid carries a lower SG&A ratio than the company does in general, in terms of mix and made an average. So, a lot of moving parts and a lot of factors, but we’re very confident with our 10.8% and believe that it’s very much delivering on the promises that we laid out a couple of years ago at Investor Day. So, thank you for the question.
Gail Boudreaux: Next question.
Operator: Next, we’ll go to the line of Scott Fidel with Stephens. Your line is open.
Scott Fidel: Hi, thanks. I actually wanted to just ask about Diversified Business Group just more broadly in terms of thinking about the 2021 outlook, and interested, if you could maybe, talk about how you’re thinking about revenue growth in margin profile for the business. I know there’s a bunch of businesses within that. But generally more broadly, and then call out, any key COVID headwinds or tailwinds to consider around that segment? Thanks.
John Gallina: Yes. Sure, Scott. Thank you for the question. Diversified Business Group is extremely important part of our long-term strategy and our long-term growth aspirations. It is not yet large enough to be considered a separate reporting segment under SEC reporting guidelines. So, there’s only so much information there that we can provide on a detailed basis. But now in 2021, we do expect to see some nice growth on a specific, on a percentage basis out of Diversified Business Group. The aim is proactively managing capacity as volume returns and we continue to monitor volumes as utilization demand normalizes. The Beacon has initially experienced a reduction in utilization and then rebounded significant throughout the year. Once Beacon and once the vaccine stabilizes the COVID issue, we expect Beacon to really be a meaningful growth driver in that area here for the future. And our program integrity area is also – the SIU is also within DBG. And that’s been impacted a little bit here in 2020 with the lower claims volume and they expect that to kick back up in 2021. So, there are both opportunities for DBG to further penetrate Anthem membership and do things appropriate to help bend the cost curve within Anthem and then sell that externally. Gail just talked to a minute ago about some of the opportunities that they have in DBG, and penetrating more and more of the Blues. So, we’re very bullish about DBG’s long-term aspirations and helping drive the overall growth of Anthem for the future.
Gail Boudreaux: Yes. And I’d add to John, as I said, in my prior comments, the Diversified Business Group is, it’s in the early stages. We’re really pleased with the growth that we’ve seen from it. We’re very happy with Aspire and Beacon, especially because of the opportunities to integrate as part of our Whole Health strategy. We see big opportunities. We shared this at our last Investor Day about the impact that Diversified Business Group can have on Anthem’s business to help accelerate our own growth and we’re starting to see some of that already inside of the Anthem numbers, where both CareMore and Beacon, particularly this year really supported Anthem’s growth. But as John said, similar to other health services business, COVID did have an impact on our ability to do in-house assessments and some of the utilization certainly was up in the Beacon behavioral health business. but overall, we’re still very positive about the long-term growth projections of our Diversified Business Group. And we’re going to share a lot more about where we see that going in our Investor Day in March. Thank you for the question. Next question, please.
Operator: Next, we’ll go to the line of Matthew Borsch with BMO Capital Markets. Your line is now open.
Matthew Borsch: Yes. I was just wondering if you could talk about the enrollment outlook for the beginning of the year, particularly, what you’re seeing in terms of large accounts. I think you referenced less movement there this year, which isn’t surprising. And then Medicare Advantage also how you see that coming into the New Year? Thanks.
Gail Boudreaux: Sure. I’m going to ask for Pete to answer the commercial question and then Felicia about Medicare Advantage, but just a couple of overarching comments on that. Overall, we’re really pleased with what – how our commercial business performed in 2020, just given the economic headwinds and as you saw, incredibly resilient business with most of our impacts, having a result of just the downsizing inside of accounts. but our sales have been robust and our retention good. but without stealing all of Pete, so let me turn it over to him to give a bit of a perspective and how we’re seeing 2021 and then Felicia.
Pete Haytaian: Yes. Thanks a lot for the question. I appreciate it. Just to reiterate what Gail said. We’re really pleased at how we landed in 2020 and how the team performed. Overall, with all the headwinds we talked about in 2020, we actually saw the commercial book grow sequentially year-over-year. So that was great. And while we did see furloughs in our book of business and in less risky segments being a factor, as Gail just alluded to the execution was outstanding from the team. Our sales exceeded our lapses for this quarter again, and for nine of the last 12 months. That was great to see. And on the Local Group business side, we actually grew our fully insured and self-funded business in the quarter. So that really played out well. What you alluded to is what our headwind has been throughout the year? And that’s really the in-group change dynamics that occurred in the larger size accounts. And that’s really going to be the story for 2021, as it relates to our execution and how we’re starting off the year in 2021. We still feel very good. We feel very good about our portfolio. but again, depending on the economy and how in-group change plays out of specialty upmarket, as you alluded to, will be a big factor as we head into 2021. If that changes and the economy improves quicker than we think, then that would be a positive obviously. But overall, we’re taking a more conservative view of that in light of where the economy is today. And I’d say that that would overall lend itself to about flattish overall membership growth in the commercial business.
Felicia Norwood: And in terms of our Medicare business, Medicare Advantage, particularly, the results of the past AEP are in line with our expectations. And it’s been referenced earlier in the call. We certainly expect another year of double-digit growth outperforming the industry average growth rate. As a reminder, our growth in Medicare Advantage has historically been more balanced throughout the year, rather than just limited to one-one. We’re also pleased to be expanding our footprint into 109 new counties. And for the first time, we will be offering Medicare Advantage plans in Iowa, and state-wide across Kentucky and Tennessee as well. Our virtual sales comprise more than 60% of our total sales volume this past AEP and the results from our Care Guide is very promising. Care Guide provides our members with a new simplified orientation journey that begins at the point of sale and reduces number of touch points to ensure that they have consistency throughout the overall on-boarding process. And finally, with respect to group retiree, while there was a bit of a delay in the GRS pipeline, we still think that opportunity is intact and we expect to see more of these opportunities as we move into 2022 and beyond.
Gail Boudreaux: I’d like to just really give a shout out to our teams in both the commercial and Medicare business, because this was really unusual year. We had a pivot and the investments that we made in our tools in our digital engagement with brokers, et cetera, really pay dividends across all of our businesses this year. And I think that’s – that really speaks to the kind of investments that we’re making to – that we can engage even when we’re not able to be in-person with our clients from a sales and account management perspective. So again, overall 2020, I felt our teams really responded well, and we’re looking forward to 2021. We’ve learned a lot. And I think the investments we’ve made, have really helped us support our clients in this environment. Next question, please.
Operator: Next, we’ll go to the line of Steve Willoughby with Cleveland Research. Your line is now open.
Steve Willoughby: Hi, good morning and thanks for taking my question. Most of mine have been asked, but two things for you. One just to follow up on the last question, I was wondering if maybe, Felicia could comment at all as it related to Medicare Advantage between individual and group. And then Gail, I was wondering if you have any thoughts or have seen any impact on the National Accounts market as a result of the Blue Cross Blue Shield lawsuit and subsequent resolution and any rule changes with Blue Cross Blue Shield Association?
Felicia Norwood: Thank you, Steve. As I referenced earlier, our individual sales for AEP were in line with our expectations, and the team certainly had to pivot in light of what we were seeing in the pandemic that led to more virtual sales. this AEP and results there were strong as well. So certainly, when we take a look at where we are. We are very pleased with what we saw and expect to deliver the double-digit growth that we referenced. From a group perspective, group membership came in well. I would say that, as we’ve mentioned before, there were some delayed decisions from employers with respect to group retiree business for 2021. We expect that pipeline though remains intact. As we’ve said before, when we take a look at our group business, we really have an inherent captive pipeline between the commercial business that we have, and our ability to be able to penetrate that business and grow as we go forward. So, while there was a real deferral, I think in some respects with respect to growth in group this year, we expect those opportunities to remain intact, and just were delayed and pushed out to 2022 and beyond.
Gail Boudreaux: And in terms of the last question about the MDL and the subscriber settlement. I commented on that on the third quarter call and really, it remains the same. I don’t really see that changing our strategies. We talked a lot about the partnerships we have. in terms of National Accounts, we’re going to continue to be an active participant in that market as our peer. So other – in terms of the Blue Cross Blue Shield of litigation and MDL, I really don’t see anything different than what I shared on the third quarter call.
Gail Boudreaux: Well, thank you very much. That will be our last question. I want to thank everyone for joining our call this morning. As you’ve heard here today, Anthem delivered strong results in 2020, and we’re well positioned moving into 2021 despite the ongoing uncertainties. We’re a very different company than we were even one year ago. And I’m optimistic about the opportunities for more than 70,000 associates to further improve the overall health of our members and communities during these challenging times. I look forward to speaking with you at our Investor Day event in March. Thank you again, for joining us.
Operator: Ladies and gentlemen, a recording of this conference will be available for replay after 11:00 AM today through November 27, 2021. You may access the replay system at any time by dialing 888-566-0406 and entering the access code 8850. International participants can dial 402-998-0591. This concludes our conference for today. Thank you for your participation and for using Verizon conferencing. You may now disconnect.